Operator: Ladies and gentlemen, thank you for standing by. Welcome to the BOS First Quarter of Year 2013 Results Conference Call. All participants are present in listen-only mode. (Operator Instructions) As a reminder this conference is being recorded and will be available on the BOSC website as of now. I’d like to remind everyone that this conference call may contain projections or other forward looking statements regarding future events or the future performance of the Company. These statements are only predictions, and may change as time passes. BOSC does not assume any obligation to update that information. Actual events or results may differ materially from those projected, including, as a result of changing industry and market trends, reduced demand for our products, the timely development of our new products and their adoption by the market, increased competition in the industry and price reductions, as well as future risks identified in the documents filed by the Company with the SEC. I would now like to hand over the call to Mr. Yuval Viner, CEO of the Company. Go ahead, Yuval.
Yuval Viner: Thank you, and good morning to all our listeners in the U.S. and good afternoon to those who are joining us from Europe and from Israel. In recent [technical difficulty], we have worked in a very challenging economic environment, both globally and locally. In 2010, following the appointment of BOS' new management, we took a strategic decision to strengthen BOS' financial condition by: reducing the – reducing business risks by closing non profitable product lines; and making selective M&A activities, all with the objective of becoming profitable on a non GAAP basis. Looking back, we believe that we have made good progress on these goals, as Eyal will provide additional detail shortly. Today we feel much more comfortable to start the second phase of our plan, which is growing our business. On these days we’re working intensively on our plan for year 2014, which we hope will gradually set BOS on a path of growth and will positively affect our outlook for 2014, and our outlook for 2013 remains to end of the year with a profit on a non-GAAP basis. Going back to the first quarter results, the results for the first quarter of fiscal 2013 reflect a bottom line improvement over the comparable period of last year, primarily as a result of increase in the RFID and mobile division’s gross profit and decrease in financial expense. However, the revenue and gross margin of the supply chain division were lower than the comparable period of last year, which affect the results for the first quarter of fiscal 2013. The positive side, the supply chain division backing is relatively high, an amount of $8 million. In addition, the supply chain division has recently entered into an agreement with a leading aircraft manufacturer. And I’m confident that the upcoming quarters of the supply chain division will generate higher revenue and an improved gross profit, which could positively impact the financial results of the BOS group. Now, I’d like to turn over the call to Eyal Cohen.
Eyal Cohen: Thank you, Yuval. Since 2009, our loans were reduced from $15m to $8m in year 2012, and we’ll continue to reduce our loans in year ’13. Since 2010, we’re profitable on a non-GAAP basis, excluding a relatively minor loss in year ’11.As Yuval mentioned before, we’ll – with a profit on non-GAAP basis. As a result of the reduction in our loans and the improved results, the ratio of loans’ to EBITDA was significantly reduced from 25 years in year ’11 down to 13 years in year ’12. We plan to continue to improve this ratio in year ’13. This completes the financial review. Thank you.
Operator: Thank you, sir. Ladies and gentlemen, at this time we will begin the question and answer session. (Operator Instructions) Your questions will be polled in the order they’re received. Please standby while we poll for your questions. There are no questions at this time. Before I ask Mr. Viner to go ahead with his closing statement, I’d like to remind participants that a replay of this call will be available on the Company’s website www.boscorporate.com by tomorrow. Mr. Viner would you like to make your concluding statement?
Yuval Viner: Yes. Thank you. We’re continuing our day-to-day effort to streamline our operations, improve our products, strengthen our financial position and expand our business overseas. We are confident that we will meet our challenges on the coming years. Thank you all for joining us today.
Operator: Thank you. This concludes BOS first quarter of year 2013 results conference call. Thank you for your participation. You may go ahead and disconnect.